Patrick Smith: Hello, everyone, and thank you for taking the time being with us on our earnings call, and I will pause for 15 to 20 seconds for everybody to read the forward-looking statements. Today, we do over $1.3 billion in cost transactions and we do around 28 new transactions with over 10,000 merchants. On our gateway, we have 300, 500 clients, and it's running over 130 industries in all 50 states. On this diversified FinTech and e-commerce company. And as I mentioned before, we have over 10,000 merchants in 50 states. We are also dealing that is our wholly owned subsidiary that has 1,000 miner today and in the process to get the mining before the year-end. We are diversified through and the [indiscernible] in all 50 states. With all those 10,000 merchants we have no concentration of client base. And we have no merchant representative even 1% of the revenues. 
 So quickly, I'll kind of go this on the financial information. As of this morning, we were at $0.65 a share. We had a market cap of $9.9 million. Outstanding share a total of 15.3 million outstanding shares of that almost 2.4 million shares of the shares are actually a public float right at 5 million of the shares are insiders, so let me put the public float at 67% and insider ownership at 33%. 
 We get some of the investment highlights. We have a diversified revenue from FinTech and Bitcoin mining. Currently, our revenue [indiscernible] million. We have a market valuation of less than $10 million, which is a sale price to sales ratio of around 0.3%. We do not have any debt. And our revenues are increasing, they're increasing from organic growth through acquisitions and some new partnerships that we have had. The mining revenues from the ASIC miners projected at 300,000 monthly based of a Bitcoin priced at $30,000. It's impacting Bitcoin mining projected combined rate is around $30 million to $35 million. That's once we have all 1000 miners up and running with spinoff just [indiscernible] shareholders before the end of 2023 is what we have expected. 
Unknown Executive: Our core business is based on products and merchant services. We have the e-commerce platform that is from the website, the online and new store model, we have a secure gateway. This way is a major thing, a small company like us. We will certify with this [indiscernible]. CrowdPay is our crowdfunding platform. And eVance is our merchant service platform that we did the underwriting risk monitoring, customer support, sales force, merchant molding and residual payments. 
Patrick Smith: Just quickly to kind of go over, this is the DMint facility, which is in Selmer, Tennessee. We purchased this last year. We purchased a 15,000 square foot building on 4.7 acres. The majority of the energy comes from clean energy, which is part solar and part hydro. We continue adding [indiscernible] in different phases. Phase 1 is the 5 megawatts, which compounded 1,000 [ layers ]. Phase 2 is if we're looking to -- we're trying to finish up right now is the 15 megawatts additional to the 5, which put another 4,000 machines running, which will give us a total of 20 megawatts of [ backout ] machines running at this facility. 
 One that I got the first -- the picture you see here, that is [indiscernible] that is the facility and that's the machine that it setup and [indiscernible] running. It was [indiscernible] 15,000 square foot building. The power is going to have a total of 20 megawatts to run 5,000 machines once everything is completed. Yes. And this is the basically the value proposition for OB shareholders. The [indiscernible] is going to be stopped. We're in the process of doing the [ S1 ] and everything, and it should be done. We're figuring about on labor days when we'll have that done. 
Unknown Executive: It would be the first initial filing in the next one. 
Patrick Smith: Correct. It is just kind of -- basically kind of showing what [indiscernible] does especially sure correctly imagine, next directly to the grid, Phase I for a 1,000 machines running, which we actually do own machines at [indiscernible] picture and Phase 2 of [indiscernible]. 
Unknown Executive: Well, the spinoff, we completed the year-end financials of '21, '22, Q1 and Q2 is about to be done. We are in [indiscernible] as Patrick mentioned twice after Labor Day. The shares will be dividend to the shareholders that so much we're going to announce the shareholder date with the record [indiscernible] that we're going to pretty much dividend to the shareholders. Shareholder overdue at [indiscernible]. 
 [indiscernible] that we just completed almost a month ago. And we are very proud about because of having safety put on the book and selling our core business products that at the point of sale system, the [indiscernible] point of the e-commerce and the merchant sales and transactions. We have the platform also that's called the [indiscernible] and is providing mobile services to all those companies. We own 80% of this company and 20 [indiscernible]  the own mobile company as well. That's very exciting because they're also in partnership with Income. Income is the largest company that provides [indiscernible] and they provide us well the new omni house for the trains and subways. 
 You can see the body proposition that we have here is the point of sale system, local services with product over circa games, market transfer, [indiscernible] payments and reloadable cash to be prepaid [indiscernible] micro lending and cash in advance. All the gift cards and all those services that have been provided by Income, and we are to much the foot on the ground with the sales people. That is one to -- it's already started 2024, it's going to be the year pretty much that's going to be aggressively launched over the market. 
Patrick Smith: Let's kind of recap, these are some of the quarter -- the second quarter of 2023 financials. We had revenue of $8.3 million, which is almost exactly -- I think we're down 0.3% compared to the previous quarter. We're down $28,000 compared to last year. The net income loss was $618,000 that's down from $1 million is still the majority of the losses we appreciate amortizations from the books. We had an adjusted EBITDA of $1.2 million, and that's compared to $98,000 for the same quarter last year.
 Currently, we are on a run rate revenue of around $33 million. This does not include the extra machines for the [indiscernible] once they're up and running. Currently, we have total assets around $37 million. And again, just be on the books for your debt. 
Unknown Executive: The current market valuation is one table derivatives, price [indiscernible] is extremely low. We're going to give the stock as a dividend to all the shareholders. New initiatives in revenues, expansion of old footprint in physical location. That's based on the latest acquisition that we did. We are building in-house for now to the marketing. And the size of [indiscernible] our positions, we purchasing more stock. We're going to announce probably over the next few days, how much more we purchased, and we believe in the company.
 Thank you, everyone. Now we open to questions -- if anyone has questions, please. 
Patrick Smith: I think there's one question. [indiscernible] miners are running down. 
Unknown Executive: We have around 250 miners running out.
 [indiscernible] 753 miners going to be online. As soon as the power is completed and certified by the local electrical authority will be up and running. We anticipate to get it done around the -- before the year end. But again, I mean, at least 2 years of the house [indiscernible]. 
 [indiscernible] finance for 4,000 miners. And we're going to do either debt financing or we got to do existing financial. It depends on the price and many variables in this case. It's way more economic to purchase the miners than the [indiscernible] for other companies.
 Well, what happened with the mining in the last 24 months, a price of -- and we saw expected in this case, we found a great opportunity in the Tennessee area. So we purchased the building. We have fixed price agreements with the local authority for 5 years and the prices are much better. 
Patrick Smith: Any other questions? 
Unknown Executive: Well, if nobody has any other questions, thank you very much for your time. We're always happy to answer anyone that has a question or you can put it on chat or email [indiscernible] or ir@olb.com. 
Patrick Smith: Thanks, everybody, for your time today. 
Unknown Executive: Thank you.